Operator: Good Day and welcome to the Q2 2012 Autoliv Earnings Release Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to your host today, Jan Carlson, President and CEO. Please go ahead.
Jan Carlson: Thank you Caroline. Welcome everyone to our second quarter earnings presentation. Here in Stockholm we have our CFO Mats Wallin, our VP Corporate Communications, Mats Odman and myself Jan Carlson, President Chief Executive Officer. We will open up today’s earnings call with a quick review of our quarterly results including an overview of general business conditions. Then we will focus on the outlook and how we see our business improving throughout the remainder of 2012. At the conclusion of this presentation, we will remain available to respond to your questions. And as usual, this slide deck is available through a link on the front page of our corporate website. Turning the page, we have the safe harbour statement which as you know is an integrated part of this presentation. During the presentation, we will reference some non-U.S. GAAP measures. The reconciliations to U.S. GAAP are disclosed in our quarterly press release and in the 10Q. Moving on to the next slide, we continue to execute on our growth and operational strategies. Our organic sales growth and EBIT margin were slightly better than expected, despite a 10% light vehicle production drop in Western Europe. Cash flow rebounded as expected from quarter one and the operating cash flow for the first half of the year was the second best in the history of our company. We also paid a record dividend of $0.47 per share in the quarter and continue to generate strong returns on investment. Looking ahead, we see a more uncertain macro environment. For instance, in our largest market, Europe, light vehicle registration in Western Europe continue to run at a 17-year low and light vehicle production continues to decline. Due to this we announced our capacity alignment program at the start of the year. Our investments in growth will continue to pay off over the next several quarters. As a result, we expect to outperform the light vehicle production by approximately 5% points during the second half of this year. And lastly, despite the head wins in Europe, we still expect to return to a double digit EBIT margin in the third quarter excluding costs for anti-trust investigations and capacity alignment. Turning the page, we have some of our key figures for the second quarter. We achieved a new record sale of $2.1 billion for a second quarter and an underlying EBIT margin of 9.4%. Our return on capital employed and return on equity remained strong at 23% and 15% respectively. Turning the page, we have our cash flow. During the quarter we (inaudible) operating cash flow of $219 million, and our capital expenditures of $85 million was approximately 4.1% of sales. However, the full year 2012 indication remains unchanged at around 4.5% of sales. This level of investment is required to deliver growth rates above the market growth and support our strong order intake. During the quarter, we returned $45 million to our shareholders in the form of the dividend which is a new record payout. This concludes my formal comments around the second quarter. And I now want to look into the outlook on the next page. On the next page, we have the third quarter light vehicle production according to IHS. That is expected to increase 2.1% year-over-year. In April, the expectation was an increase of 3.8%. This change in light vehicle production is primarily due to a lower production outlook for Western Europe, China and rest of Asia. However, IHS still expects a year-over-year growth in North America, Japan and China of 8% each, while the production in Europe is expected to be down 8%. On the next page, we have our outlook for the third quarter. Based on our customer call-offs we expect to continue to offset this strong negative head wins from Western Europe and achieve an organic growth rate of nearly 4%. This growth is due to our long term investments in China in the active safety that are paying off and due to important platform launchers. For the quarter we expect an underlying operating margin of approximately 10%. Sequentially, our margin improvement from the second quarter is mainly due to better utilisation of our capacity investment in China and R&D net. On the next slides, we see some of our key launches in China. These models will contribute to our market share gains and the overall market out performance in the second half of this year. The annual revenues for these models are the range of $10 million to $40 million each. On this great wall H6 platform we have a good example where Autoliv supplies all of the passive safety product. These launches will have Autoliv reach close to $1.2 billion of revenue in China this year. Turning the page, we have the second half light vehicle production is expected to increase by approximately 1% year-over-year according to IHS. This year-over-year increase is approximately 2% point less than IHS forecasted back in April. And despite this negative market trend, we expect to outperform the global light vehicle production by 5% points during the second half of this year. Onto the next page, we have the outlook for the second half of 2012. Year over year, our organic sales are expected to increase by approximately 6%, which is 2% point less than we expected back in April. This change in our sales guidance of approximately 90 million lower sales is in line with lower light vehicle production expectation, in Europe, China and rest of Asia mentioned on the previous slide. As a result our implied operating margin guidance is in the range of 10 to 10.5% for the second half of this year. Our sequential margin improvement from the first half of the year is due to better leverage in our capacity in China and active safety as well as lower R&D net. I feel it’s created on the next page, we have some of our key launches in the product area of active safety. We are expanding our presence on this fast growing markets with our advanced technologies. For instance, we launched our first radar product for collision warning by General Motors as advertised on the Cadillac XTS. We are also expanding our vision camera system to BMW’s six series, where it will be used for forward collision warning, lane departure warning and speed sign recognition. As a result of new launches, our active safety revenues are expected to be around $250 million already this year, and will contribute to our second half out performance versus light vehicle production. Generally speaking, the shipment rate of these new technologies run in the range of 10% to 50%, depending on their model and their customer. However, an increasing number of models are adopting active safety systems as standard equipment. For instance, on the Mercedes A Class, where we have launched our radar technologies, our product is standard for collision prevention assist. I believe this is the first time radar becomes standard on a small car in the so called A segment. Looking now on the next slide, we summarise our sales and margin outlook for the current quarter and full year. All figures related to our guidance and outlook, assume that mid July exchange rates and exclude costs for anti-trust investigations and capacity alignments. For the third quarter we expect some organic sales increase of nearly 4%. As mentioned earlier, this is more than offset by a negative 6% currency effect resulting in a sales decline of approximately 3%. Even these sales assumptions, we expect an operating margin of approximately 10% in the third quarter. With the full year, the indication is for a consolidated sales increase of approximately 1% year-over-year, while the organic sales increase is expected to be approximately 6%, as compared to 7% in April. Therefore, based on all of these assumptions, we modify our EBIT margin indication to approximately 10% for full year 2012 to reflect this modified full year light vehicle production outlook. And we maintain our operating cash flow indication of approximately $700 million for the full year 2012. So to summarise, we are pleased with our overall results and progress as we continue to execute on our strategies, despite a mixed and uncertain macro environment. We now turn the page, this concludes the formal comments of today’s earnings call and we would like now to open it up for questions, and with that I leave the word back to you Caroline. Thank you.
Operator: Certainly, Mr. Carlson, (Operator Instructions) we now take our first question today from Brett Hoselton from KeyBanc, please go ahead.
Brett Hoselton – KeyBanc: Gentlemen, good morning or good afternoon I guess
Jan Carlson: Good morning to you Brett, how are you?
Brett Hoselton – KeyBanc: I’m doing just fine, how are you.
Jan Carlson: Good thanks.
Brett Hoselton – KeyBanc: Wanted to ask you two thoughts here, first of all, just on that quarter, the tax rate was a little bit higher that we had anticipated and my question here is, was there anything unusual impacting the tax rate. It might have driven a little bit higher and then what’s your expectation going forward for the remainder of the year?
Jan Carlson: I leave it to Mat.
Mats Wallin: Okay, if you look now into the second quarter here, the tax rate has been impacted by that we see more earnings relatively in high tax countries, like US and Japan. So, that has driven up the tax rate in the quarter due to the mix affect. That mix effect will also have an impact on the full year free action and we guided before around 27% for the remainder of the year. Now, we see around 28% for the remainder of the year, for the same reason that we see relatively more earnings in the US and in Japan.
Brett Hoselton – KeyBanc: And then looking into margin guidance for 2012, it looks like a slight revision here from up or from 10% to 11% range previously to kind of in the range of around 10%. I view that as some other reduction in your guidance. My question is, is that directionally how we should be thinking about it, and in your mind what are the primary one or two drivers for that?
Jan Carlson: Well I think the key driver for this is the lower light vehicle production resulting in the lower organic sales for us. We will have a lower organic sales for a second half of approximately 90 million compared to what we thought in April and if you just the effect out of this, even this would imply a lower operating margin for second half. We communicated last quarter approximately 11% for second half and we are down now to a between 10 and 10.5 depending on uncertainty.
Brett Hoselton – KeyBanc: Thank you very much gentlemen.
Mats Wallin: Thank you Brett.
Operator: We now take our next question from Rod Lache from Deutsche Bank, please go ahead.
Ted – Deutsche Bank:
Mats Wallin: Good morning Ted.
Patrick Nolan – Deutsche Bank: Two questions, first can you just discuss what you are seeing as far as pricing and commercial agreements in the European market? There has been some talk by some of your competitors that you have price give backs, the timings have been pushed out a little bit, or actually pricing has got a little bit worse? And also if you could just comment if there is any update on the anti-trust investigations?
Jan Carlson: Regarding pricing, we really see no difference. We had approximately 3% price downs, which is in the mid point over the range of 2% to 4% for the second quarter. So really no difference whether easing up or getting worse, I would say right now. On the anti-trust investigation, we treat the US part, the DoJ part for an Autoliv perspective to be behind us. However, that investigation is still ongoing from DoJ side to some and many of our competitors. From an Autoliv perspective, we are still under the investigation from the European Commission, as you know, and I have no comments further that I can share with you on that one whether from a financial perspective or from a timings perspective.
Patrick Nolan – Deutsche Bank: Okay. Just one follow-up, do we expect the legal fees to kind of continue at this kind of 5 million rate until we reach over a solution on the European side?
Jan Carlson: We focused very hard when we had this investigation to really cooperate and to emphasize a very strong activity in the beginning of it. So, we frontloaded our activities quite a bit here and that also resulted – we would think to some extent that we came out earlier than many of the others. We should look to the legal cost, the lawyer’s fees to somewhat go down from year-end onwards.
Patrick Nolan – Deutsche Bank: Just one last question. Working capital line, much better performance this quarter versus first quarter, what kind of range should we be expecting on a full year basis?
Mats Wallin: We have set a target for our working capital is to be less than 10% of sales. Now, you see in the second quarter, 6.7%. We have to remember that in that number we also have provisions for restructuring and capacity alignment of $6 million to $7 million reducing the working capital. They would be paid out over time and over the years. We also had in the working capital the DoJ accrual of $14.5 million, also reducing the working capital, and that has been paid off now in July. So if you would take out restructuring and the DoJ, the working capital would be around 7.6% of sales if you look into the second quarter.
Patrick Nolan – Deutsche Bank: Got it. And we should expect that to move closer to 10% by year end?
Mats Wallin: Yes, the target is to be less than 10%. I mean, working capital, it can vary from quarter to quarter, but this is the level we are at least for the second quarter.
Patrick Nolan – Deutsche Bank: Okay, thanks very much.
Operator: We will now take our next question from Ryan Brinkman from JP Morgan. Please go ahead.
Ryan Brinkman – JP Morgan: Hi, good morning. Thanks for taking my question. You mentioned third quarter margins improving I think quarter-over-quarter from lower RD&E expenses. Is that simply a seasonal phenomena or do you think that – when do you think you can begin to lever RD&E expenses on a year-over-year basis?
Jan Carlson: We will continue to invest in new technology in Active Safety and also from a general perspective. We have said that RD&E should be below 6% net. We expect to return to below 6% from third quarter onwards, and we expect that to be also the case for the full-year 2012. We haven’t further discussed to bring R&D figures down to low 5 point percent or something. So, but that’s what we have said, 6% should be the cap.
Ryan Brinkman – JP Morgan: Okay, that’s helpful, thanks. You updated us on some of your upcoming Active Safety launches. I was wondering if there were any other milestones that were achieved in the quarter in regards to the Active Safety business, for example, new contract wins, etcetera?
Jan Carlson: Well, there is continuous discussion about new contract win. We don’t talk so much about new contracts until they materialize in sales, because you don’t really know the take rates and the outcome of the contracts. But there is a slow of new activities. As we are growing in this area so fast, you saw we grew the area in second quarter with 30% and we expect to grow the Active Safety even higher in the second half of this year.
Ryan Brinkman – JP Morgan: Okay, thanks. And then just finally, which region or product areas given rise to your capacity alignment cost, this is principally in Europe I imagine, what kind of payback do you see on this? Thanks.
Jan Carlson: We expect the payback to be 2 to 3 years and it’s primarily Europe, as you said.
Ryan Brinkman – JP Morgan: Thank you.
Jan Carlson: Thank you.
Operator: We will now take our next question from Johan Dahl from Erik Penser Bank. Please go ahead.
Johan Dahl - Erik Penser Bank: Hi there, can you hear me?
Jan Carlson: We hear you well, Johan.
Johan Dahl - Erik Penser Bank: Great, that’s great. I just had a question regarding the Autoliv’s outperformance over IHS numbers. You seemed to refer 2% outperformance in the third quarter, and then you say 5% for the second half. Could you just help us what’s driving it in the fourth quarter in your mind?
Jan Carlson: Well, it is launched in China and in Active Safety predominantly that is helping us to increase outperformance. You saw some of the important ones on the slides in the formal presentation, but in their sense that is the reason why outperforming.
Johan Dahl - Erik Penser Bank: So those are mainly occurring in the fourth quarter and I presume?
Jan Carlson: Yes, third and fourth quarter.
Johan Dahl - Erik Penser Bank: Secondly, I was wondering, is there anything else, I mean, you referred to the better utilization in China and lower R&D in (inaudible) is there anything else boosting your margins in the second half such as other variable cost if you understand me?
Mats Wallin: If you look into the second half there is some other items we have to remember. We see seasonally higher engineering income in the second half, that’s also part of it. But that is something we always see from every year. And then on top of that if you compare second half to first half you also have a vacation impact, so we are releasing vacation accruals in the third quarter of around $10 million that is also an impact if you see sort of second half versus first half.
Johan Dahl - Erik Penser Bank: Okay, that’s helpful. Would you be able to say anything regarding raw material outlook?
Jan Carlson: Raw material outlook for the full year is $10 million worse than last year, so $10 million up. We have revised this figure down now from $15 million in the previous quarter, so slight revision down.
Johan Dahl - Erik Penser Bank: Great, thanks.
Jan Carlson: Thank you.
Operator: We will now take our next question from Hampus Engellau from Handelsbanken. Please go ahead.
Hampus Engellau - Handelsbanken: Thank you very much. I have two questions. Just coming back to this restructuring charges, I know it’s just only 5 million during the quarter and I was wondering if you could maybe shed some light on the remaining how it would be distributed between third and fourth quarter, maybe if we are closer to 60 to 80, given the run rate? My second question is more speculative on Active Safety, which you are seeing activity from Chinese local OEMs and also prospects for taking your Active Safety when testing cars? Thanks.
Jan Carlson: If you look to the restructuring charges, there will be more coming, but we are in the planning and discussion phase, so it’s hard to judge when it is coming in third or fourth quarter. But there will be more coming. Any thoughts so hard to really say inside which level inside the range, if it is closer to 60 or closer 80 at the moment. We are right now discussing this. It also depends on the outlook of the general market trends. So I cannot give you a more precise figure than the 60 to 80 million, unfortunately. If you then look to what’s happening in the (inaudible) side, there is activity ongoing on these activities. If you just hold on for a while, we’ll try to see if we can get that. Maybe we take the next question and we come back to that while I give you some more details.
Hampus Engellau – Handelsbanken: Sure, thanks.
Operator: We will now take our next question from Merit [ph] from Jefferies. Please go ahead.
Peter Nesvold - Jefferies: Hi, it’s Peter Nesvold. I had a few phone problems, so I don’t if this question has been asked, if so just let me know and I’ll read the transcript. The platform mix, it’s been a nice multi-year tailwind for the company. We saw a little bit of an air pocket on German sales in May, it looked like maybe they rebounded in June. Can you just sort of speak to what’s discounted into the second half outlook regarding platform mix? Does it kind of stay the course where it is now, or do you see luxury starting to trend lower? Thank you.
Jan Carlson: We still continue to see a strong platform mix. We leave that the luxury vehicle will also continue. If you look in particular to China, you have seen China trending down a little bit. We should have in mind that China is still a growth market which is expecting to grow 7%, which is just respectable number. But in this change we maybe even see a higher trend towards more premium brand vehicles. You can also see that Chinese OEMs all trading down compared to the foreign OEMs a little bit in China. So, we believe that current mix will stay and will be a good premium oriented mix also looking ahead.
Peter Nesvold - Jefferies: If I can ask just one brief follow-up on that. If there were a slowdown in China for luxury, how would we anticipate, where will see it? Because sometimes the data that we get out of that market can be very lagging, so any help you can provide on that point would be great?
Jan Carlson: Well, I think that we will be a – you could basically see that fairly swift. We see that in our customer call also, we would see it in our customer call also fairly fast. If it would happen, but we haven’t seen that, we also believe that the foreign OEMs inside China have a very good position and they are actually taking market shares and their product program is more oriented to higher equipped vehicles. So, if it would come in, probably see it fairly immediate, actually.
Peter Nesvold - Jefferies: Thank you.
Operator: We will now take our next question from Brett Hoselton from KeyBanc. Please go ahead.
Brett Hoselton - KeyBanc: Hi, gentlemen.
Mats Wallin: Hi there, Brett.
Brett Hoselton – KeyBanc: I was hoping you might be able to just expand or talk a little bit more specifically and this is just kind of follow-on from the previous question. On the changes in back half expectations for Europe and obviously it looks like Western Europe is the primary change here. Where you have seen the changes primarily in terms of, is it primarily just domestic production targeted at domestic sales and is it at the lower end then? It’s kind of what it sounds like you are suggesting?
Jan Carlson: Well, I guess, if you look to the different car manufacturers in Europe you can see where you have a decline and I think you have seen French OEMs taking a hit. You have seen Italian taking a hit. You have seen Germany trading well and the premium brands are trading well. When you look into Europe, if you look to the different OEMs, these German premium brands are also more depending on the export and into the regions where car sales is doing better. So, I think it follows through on the macro-economic level and on the premium versus small car profile.
Brett Hoselton - KeyBanc: Okay, perfect. Thank you very much.
Jan Carlson: Thank you.
Operator: We will now take our next question from David Leiker from Robert W. Baird. Please go ahead.
Joe - Robert W. Baird: Hi, good morning, this is Joe on the line for David.
Jan Carlson: Hi, good morning.
Joe – Robert W. Baird: Just wanted to circle back on an earlier question, JC, I was talking yesterday about how while they expect R&D reimbursement from their customers just the cadence of receiving that, just being stretched out. So the automakers are taking a little more time and actually getting them the reimbursements. I just want to circle back and see if that’s consistent with what you are seeing or expect in the second half?
Jan Carlson: We are not seeing any increase or major positive deviation on the engineering income, or engineering payout from customers or reimbursements. It has been rather stable. We could see some changes if you go back 3, 4 years ago, but for the time being now it hasn’t changed dramatically. Trending even further back, there has been rather the opposite that many customers has asked the supply base to take more engineering cost and depreciate over piece price. So rather of a longer term perspective it has been the opposite trend. But for now there hasn’t been any recent changes.
Joe - Robert W. Baird: Okay, great. Just in terms of the European forecast, so it sounds like you use the IHS number and then you channel checks and your channel checks are sort of backing that up. I am just wondering, I think you get a 3 to 4 week production schedule. So, are you getting more of a longer term or maybe 2 to 3 months outlook from these channel checks that is making you feel comfortable with the European number?
Jan Carlson: I have to correct you there. Our guidance for third quarter is based on our customer call outs. It’s not based on our IHS numbers. We are using our IHS numbers for the outer quarters, in first quarter guiding for the full year and also here for fourth quarter we are factoring in IHS numbers. But for third quarter it’s more or less based on the customer call outs. We are then checking these numbers against IHS, so that is how our guidance is based on.
Joe - Robert W. Baird: Sorry, if I have missed it, but what are your checks yielding for kind of a year-over-year growth number versus what IHS has?
Jan Carlson: Well, we have no reason to comment. We don’t think that for the outer years we don’t have any other opinion. For the outer quarters and months we have no other opinion than IHS. We have between 6 weeks, 4 to 8 weeks depending on customers on call outs. That’s what we use for the quarter that we are in when we guide. For fourth quarter we don’t have any significantly different figures than IHS.
Joe - Robert W. Baird: Okay. And then my last one, I think you typically talked about the ability to outperform global IT or co-production by 2% to 4% in Q3, are you going to see Q4 a little bit above that. You have had a lot of mix issues this year. So, I am just wondering based on your platform outlook, your customer mix heading in the 2013, is there any reason not to expect to comment within that range, or even directional indication if you will be at the high or low end?
Jan Carlson: We have had many many quarters without performance and we have had now underperformance for a couple of quarters due to the Tsunami effect. There wouldn’t sort of intuitively be no reason why we should not continue to outperform. However, this is very difficult to forecast. You don’t know the platforms that you are on holiday or received, you don’t know how the mix is going that you are on the right platforms that are selling well, etcetera. So, that’s very difficult to say from time to time. We have been very successful in capturing the right platforms, we have been successful in increasing our order intake and thereby grabbing market share and thereby also outperforming. I would stay away from commenting how this would look like for outer years because it’s very difficult to have a very factual opinion of it.
Joe - Robert W. Baird: Okay, thank you very much.
Operator: (Operator Instructions)
Jan Carlson: I would then like to come back to the comments from Hampus, you asked about, you rank on what’s happening in the area of Active Safety. If you look to the upcoming years here you have a new racing related to Active Safety, which is Speed Assist coming in 2013. You have autonomous emergency braking in 2014, lane departure warning and lane keep assist in 2014, as well, and then emergency braking for pedestrians starting in 2016. So, there are a lot of activities happening right now related to active safety in (inaudible) area. If you look to active safety and into other regions, there are less of activities so far in North America and in Asia related to active safety. But we believe that when this is coming on, there will be follow up activities in the North America and in Asia also. Maybe Asia will take some longer time but then follow on in North America. 
Operator:  We will now take our next question from Davis [ph]Lesnar from UBS, please go ahead. Your line is open, please go ahead. 
Davis Lesnar:  Sorry, good afternoon. I just have one question please. If we have to see some capacity being removed and some plans closing in Europe, what would be the impact forward to leave and also do you have some facilities depending on the production of one single customer? Thank you. 
Jan Carlson:  No, we don’t have any one single customer depending facility. What we are doing with our capacity alignment is just aligning capacity to where the customers are and the market demand. You probably remember we had another situation in 2008, where there was a drastic crisis throughout the entire world, and that was more of a cut program where we would have to cut due to a very short decline across the globe. Now this is aligning to customers and to customer expectation and where we see production in there flowing in the future that is more aspect to Autoliv. 
Davis Lesnar: Okay, thank you. 
Operator:  As there are no further questions in the queue, I would now like to turn the call back over to your host for any additional or closing remarks. 
Jan Carlson:  Well, thank you everyone for your attention and continued interest and interesting questions. I hope you all have a safe and relaxing summer and we look forward speaking to you again at our third quarter earnings release on Tuesday, October 23, 2012. Until then, have a very good summer. Thank you very much. 
Operator: That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.